Operator: Good day. Thank you for standing by. Welcome to Casella Waste Systems, Inc.'s Third Quarter 2022 Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Charlie Wohlhuter, Director of Investor Relations. Please go ahead, sir.
Charlie Wohlhuter: Thank you, Norma, and thank you, everyone, for joining us this morning. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Ned Coletta, our President and Chief Financial Officer; Jason Mead, our Senior Vice President of Finance and Treasurer; and Sean Steves, our Senior Vice President and Chief Operating Officer of Solid Waste operations.  Today, we will be discussing our 2022 third quarter results. These results were released yesterday afternoon. Along with a brief review of those results and an update on the company's activities and business environment, we will be answering your questions as well. But first, I must remind everyone that various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995.  Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today.  Also during this call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. Reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures, to the extent they are available without unreasonable effort, are available in the appendix to our investor slide presentation, which is available in the Investors section of our website at ir.casella.com, under the heading Events and Presentations.  And with that, I will now turn it over to John Casella, who will begin today's discussion.
John Casella: Thanks, Charlie. That's a hell of a debut. I know Joe is probably out there smiling as he's listening. I'm sure he's listening to the call this morning as well. So good morning, everyone, and welcome to our third quarter 2022 conference call. This was another great quarter, and of course, I'm really proud of our overall performance. Strong operational execution, robust pricing programs allowed us to outpace inflation as well as the recent sharp decline in recycling commodity values.  We have good momentum carrying into the balance of '22 and looking ahead to 2023. We grew revenues by 22% year-over-year in the third quarter, while adjusted EBITDA grew by about 23% in the same period. Thus, we expanded margins, which is notable accomplishment, given the environment. We expect year-over-year margin growth in the fourth quarter and for the full year. At the same time, we continue to drive adjusted free cash flow growth. We are on track to achieve our multiyear goal of 10% to 15% adjusted free cash flow growth per year, which highlights not only our solid operating performance but also our capital discipline and continued execution against our growth strategy.  We have great balance between organic growth within our core business and inorganic growth through acquisitions. Roughly 50% of our revenue growth year-to-date has been driven by growth within the core business, through new customer growth, coupled with higher price and fuel recovery fees. The remaining 50% of revenue growth has been driven by acquisitions. To date this year, we have closed on 13 acquisitions with approximately $48 million of annualized revenue, outpacing our target of $30 million.  Our business model remains resilient and we are performing well. From a risk mitigation perspective, we ended the quarter at our lowest leverage ever. Further, we are -- we fully offset the higher impact of fuel prices through our fuel cost recovery program and expect to do so for the full year. We also have innovative recycling -- we also have innovative recycling risk mitigation programs that will help offset most of the headwinds we will see from the global recycling markets. Ned and I will cover more on this topic, but all in all, we are well positioned.  I'd like to provide a brief review of the execution against a few of our key strategies. We remain focused on improving returns at our landfill, and the positive volume and pricing growth we posted in the quarter reflects our performance. Landfill tonnages were up 6% year-over-year in the quarter due to our strategically placed in-market position of our disposal assets combined with great sales execution. It is our expectation volumes will remain positive as we close out the year.  From a pricing perspective, improving the quality of revenue in our inbound streams is a major focal point. We measure this through our average landfill price per ton, which was up 8% in the quarter, helping us offset inflationary cost pressures and manage through heightened regulatory costs. Aside from the operational and pricing programs we have in place, our first renewable gas project, which is expected to come online in the first quarter of 2023, provides a sustainable solution with a strong return profile.  Moving to the collection business. We posted another strong quarter of year-over-year adjusted EBITDA growth and margin expansion above budgeted levels. Our investment in return-driven technology solutions, along with our business process, enable us to be nimble and drive additional productivity and improve performance. We took fast action early this year to address the inflationary environment by resetting our budgeted pricing programs. In the quarter, collection price was up over 7%. In addition to positive pricing combating inflation, our fuel recovery fee program fully recovered higher fuel costs in the quarter.  From an operational perspective, Sean's work further deploying automated trucks and onboard computers across our fleet is also mitigating higher costs while driving improved margins. We are making return-driven investments across our collections fleet, and we see a runway of opportunity into the future. We believe these enhancements will continue to improve our safety profile, service, employee attraction and retention, sales growth and operating efficiency.  Next on Resource Solutions. On Tuesday, we published our 2022 sustainability report, highlighting our vision and the progress we are making to achieve our sustainability goals. This is a collaboration -- collaborative effort by many and demonstrates how sustainability is intertwined within all aspects of our business and strategy. Our Resource Solutions segment is not only a key part of that focus but a business segment that we continue to invest in as we aim to drive economical and environmentally balanced solutions for our customers.  We're making technological upgrades at several of our recycling facilities. The early results are quite positive with increased safety, throughput and operating efficiencies. But the focus doesn't stop there. Customers continue to ask for ways to reduce their environmental footprint. In fact, I recently visited a large customer who is looking for solutions to reduce their Scope 3 emissions by driving higher recycling and materials management. This is just one example of a growing opportunity, and I believe we are very well positioned to support this trend going forward while generating solid financial returns.  With regards to the recent performance of the recycling commodity prices, as you know, the team has done a fantastic job creating risk mitigation programs with the sustainability recycling adjustment fee. We implemented our SRA fee several years ago and it shifts the vast majority of the recycling commodity price exposure to our customers.  Finally, I'd like to highlight our capital allocation and growth strategy. We continue to have success executing against our growth strategy through our disciplined approach, targeting strategic fit and follow-through on integration to achieve expected returns. Our pipeline remains robust, over $500 million in revenues of identified opportunities of our existing operating footprint we're currently working on. Several acquisitions currently have approximately $30 million of annualized revenues under LOI. Clearly, we have a great opportunity to continue to drive value by way of growing the business through acquisitions.  Wrap it up, I'm obviously very proud of the performance thus far in 2022 from our team's execution against our key strategies. But before I turn it over to Ned for more details on the financials, I'd like to take a moment to recognize our team's tireless dedication and commitment to our core values, which is apparent day in and day out. They've weathered the worst of the pandemic and are working together to ensure exceptional service to our customers and the communities that we serve.  In recognition of this, in early December, we're paying out a special bonus to our hourly employees as a thank you for contributing to the company's success. I'm exceptionally proud of the hard work and service of our entire team. And with that, Ned, the floor is yours.
Edmond Coletta: Thanks, John, and good morning, everyone. I'd like to start also by thanking our team for another great quarter. We beat our plan during the quarter and year-to-date despite the challenging backdrop of the historically high inflation, rapidly rising fuel costs and a significant drop in commodity prices. Our team once again did an amazing job accelerating cost efficiency programs to help moderate inflation, realigning our pricing plans to offset the heightened costs and ensuring the eligible customers were on our fuel cost recovery program.  Further, as John mentioned, our recycling risk management programs worked as intended and have done a great job offsetting the significant decline in recycling commodity prices. This is a great testament to our ability to remain nimble in a dynamic economic environment. I believe that we are well positioned to course correct and execute in any environment at this point in time.  Moving on to the quarter. Revenues in the third quarter were $295.3 million, up $53.3 million or 22% year-over-year, with 8.5% of the year-over-year change driven by acquisition activity and 13.5% of the year-over-year change from organic growth. Solid waste revenues were up 20.4% year-over-year, with price up 6.6%, volumes up 2%, acquisition growth of 5% and our fuel cost recovery fees up 6.4%. Revenues in the collection line of business were up 21.2% year-over-year, with price up 7.2% and volumes slightly up.  Revenues in the disposal line of business were up 19% year-over-year with price up 6% and volumes up 6.4%. Landfill pricing was up 5% year-over-year. However, this doesn't tell the full story. Our average price per ton was up 8% as we continued to improve the mix at our sites. Landfill tons were up over 6% in the third quarter. and after a slow start to the year, are now up close to 3% year-to-date.  Resource Solutions revenues were up 7% year-over-year with 18.2% growth from acquisitions, 7.7% volume growth, our processing fees and other price up 12%, with all of this offsetting the lower commodity prices in the quarter. Our commodity prices were down roughly 37% year-over-year on lower cardboard and mixed paper pricing, lower metals pricing and lower plastics pricing. In fact, commodity prices hit a high point back in April and have declined roughly 55% a ton from April through September with weakness across all classes.  Adjusted EBITDA was $70 million in the quarter, up $13.8 million or 22.5% year-over-year, with $10.7 million of the growth driven by improvements in our base business and a little over $3 million derived from the rollover impact of acquisitions. Given our strong performance in 2022, as John said earlier, we accrued $1.2 million in the third quarter and plan to accrue another $1.2 million in the fourth quarter for a special onetime bonus for all of our hourly frontline and back office employees that have worked so hard to help us excel in this environment. We plan to pay this bonus out in early December.  Adjusted EBITDA margins were 25.4% in the quarter, up 10 basis points year-over-year, a strong sequential improvement and exactly on plan for the quarter. Once again, our pricing programs covered cost inflation in the quarter, with solid waste price up 6.6%, offset by a 5.9% headwind from inflation, excluding fuel. Further margin bridging items include: an 80 basis point improvement from general operational improvements and volume gains; a 50 basis point improvement from our fuel recovery program, net of higher fuel costs; a 75 basis headwind from acquisitions; a 75 basis point headwind from recycling commodity prices; and roughly a 40 basis point headwind from the special bonus accrual.  As fuel prices peaked and began to decline during the third quarter, our fuel cost recovery fees began to catch up both with the cost and margin under recovery experienced during the first 6 months of the year. Solid waste adjusted EBITDA was $67.1 million in the quarter, up $14.8 million year-over-year, with strength in both collection and disposal. Resource Solutions adjusted EBITDA was $7.8 million in the quarter, down $1.2 million year-over-year, with improvements in the industrial and organic operations, offset by lower performance in recycling MRFs.  Cost of operations in the quarter was up $36.4 million year-over-year or up 84 basis points as a percentage of revenue, with most of the increase due to higher fuel costs and mix changes driven by acquisition activity. General and administrative costs in the quarter were up $3.4 million year-over-year but down 120 basis points as a percentage of revenues as we continue to gain cost leverage on higher revenues, our efficiency programs and technology investments have also made a positive difference.  As of September 30, we had $596.8 million of debt, $47.9 million of cash and liquidity of $319.7 million. Our consolidated net leverage ratio was 2.16x. As John mentioned, that's a historically low level, and our average cash interest rate was approximately 3.3%. Our balance sheet is in great shape and positions us well to continue to grow while also providing stability in this rising interest rate environment, with fixed interest rates on approximately 73% of our debt -- on our next major debt maturity in January of 2025.  And with our leverage now at 2.16x, we've reached the lowest pricing point on the grid for a senior secured credit facility, and our spread will drop to LIBOR plus 1.125%. Adjusted free cash flow was $81.7 million year-to-date, up $3.4 million year-over-year, with higher capital expenditures more than offset by higher net cash provided by operating activities, mainly driven by improved operating performance, partially offset by negative changes in our assets and liabilities.  As stated in our press release yesterday afternoon, we have increased our fiscal year 2022 revenue, net income, adjusted EBITDA and net cash provided by operating activities guidance ranges and reaffirmed our adjusted free cash flow guidance range. We increased our guidance ranges for the third time this year, mainly due to our stronger-than-planned pricing programs, continued execution against our operating efficiency initiatives, excellent cost offset from the mature fuel cost recovery fees and the positive contribution from recent acquisitions.  As part of our updated guidance ranges, we have contemplated that recycling commodity prices will decline another 20% from September through December, resulting in about a $2 million headwind in the fourth quarter. We expect higher net cash provided by operating activities to be partially offset by higher capital expenditures for the year, including our continued investments in newly acquired operations, growth capital investments for new contracts and customers, additional investments to accelerate operating efficiencies and just higher inflation on things we're buying.  Our internal rate of inflation is currently running at roughly 5.8% to 5.9%. We expect to outpace this inflation, increase adjusted EBITDA margins by roughly 10 basis points for fiscal year 2022 with more significant year-over-year margin improvements in the fourth quarter. As we discussed last quarter, if our cost inflation increases further, we have great flexibility to advance additional price increases of roughly 70% of our collection book of business, and our floating fees are doing a great job mitigating risk.  And with that, I'll turn it back to the operator for questions. Thank you.
Operator: [Operator Instructions]. Our first question comes from the line of Sean Eastman with KeyBanc.
Sean Eastman: And compliments to the team on the quarter. Since I got in before Tyler here, I'll ask the -- for the early look on the bridge to 2023 EBITDA. Maybe just a preliminary thought on some of those key puts and takes, just between recycling, operating leverage, that would be great.
Edmond Coletta: Great. Yes. We haven't finished our budgeting for 2023 nor have we guided the year. But I think a lot of the building blocks that we expect to be in place for the fourth quarter really will roll into next year unless there's something unexpected. Right now, if you roll forward where recycling commodity prices are into next year, we'll be looking at, for the full year, a $60 or $70 a ton decrease, which would result in about a $4 million headwind to EBITDA next year from recycling.  Our programs are working great and doing a really nice job offsetting the headwinds. Some of our newly acquired customers and operations, of course, will have our risk management programs in place and something we'll look to advance. On the pricing side, things are looking good there. We're putting together our pricing strategy for 2023, and we'll look to outpace inflation again next year and more than likely look for pricing programs in excess of 6%, 6.5% for the year, depending on where inflation is.  And on the volume side, we don't see anything tailing off right now in our greater environment, both on the commercial side, the residential, the construction side. We just haven't seen a volume decline. So we're looking into early next year to see a stable environment there unless something changes. And we'll have more information on bridging items and guidance coming into next quarter.
Jason Mead: And Ned, maybe just to add one element there just on the M&A rollover here on the bridge. So Sean, as you know, we've completed 13 acquisitions this year with about $48 million in annualized revenues. We'll see about $12.5 million of revenue rollover next year related to those acquisitions and a couple of million dollars of EBITDA, which is typical. So 15% to 20% EBITDA margins on those acquisitions. So typically, we see lower margins first year post acquisition as we get those acquisitions up to our consolidated margin levels as well.
Edmond Coletta: Another data point, Jason, one more thing there is we'll end this year with about EBITDA margins up about 10 basis points, and I went through some bridging items earlier. But we'll be exiting the year in Q4 with a little bit stronger margin enhancement. We're up about 50, 60 basis points in Q4. We'll look next year to get back on to a normal cadence of advancing margins gains year-over-year, a little higher than 10 basis points back to that 40 to 50 basis points.
Sean Eastman: Okay. A lot of helpful color in there. I'm just curious, within that 40 to 50, how much of that is sort of operating leverage on price-led growth versus the operating efficiency gains, which seem to be gathering momentum, if anything?
Edmond Coletta: Yes. I mean, if you look at our quarter, there's always some onetime stop in the numbers. So it's hard to separate both, but we had great advancement of our core price ahead of our core inflation, and we had probably one of our best quarters from an operating efficiency standpoint. We beat on core price against inflation, almost 70 basis points, and our operating programs delivered close to 80 basis points to the bottom line. Now there are bridging items that worked against that, that help to mute some of those gains. But what we're seeing on the street and what we're seeing with our programs is really positive.
Sean Eastman: Okay, excellent. And one last one. Just -- we've got a lot of things defined around the EBITDA lock, but maybe just rounding that out with free cash flow. Just CapEx seems a little more elevated. Other companies are talking about interests, tax elements. Anything to point out there?
Edmond Coletta: Yes. So I mentioned in my script that we've done a really nice job on the balance sheet, and we have our lowest leverage rate ever as a company. And right now, we've got 73% of our debt fixed, both through fixed positions and through interest rate swaps. So for a 100 basis point move in LIBOR or another rate with similar like SOFR, we'd expect roughly $1.6 million of higher interest costs. So we are going to see a little bit of a headwind there next year.  On the tax side, our NOL position continues to serve us well and serve shareholders well, where we'll continue to offset the vast majority of federal taxes. And we'll see more and more state taxes coming in, into 2023. You're right. On the CapEx side, we are a bit elevated. And I would say we're running about 5% to 6% inflation on CapEx. And then the rest of the higher spend is really on good things. There are contracts we've won. They're on great investments to accelerate operating efficiencies and continuing to invest in acquisitions we've completed. So we'll give more color on that coming into next year and in specific investments.
John Casella: Also the work that Sean's doing from an automation standpoint, just taking opportunity to move that more aggressively.
Edmond Coletta: Yes.
Operator: And our next question comes from Tyler Brown with Raymond James.
Patrick Brown: Jason, real quick on the M&A rollover. So I think you said $12.5 million. So how does that split between solid waste and Resource Solutions?
Jason Mead: Yes. Good question. Thanks, Tyler. So of the $12.5 million, the split is roughly $5 million in Resource Solutions next year and $7.5 million in solid waste.
Patrick Brown: Okay. Thanks for the modeling help there. But I do want to kind of go back to price a little bit. I noticed that if you look at your total solid waste pricing in the quarter, I think it was up 6.6%, but that was actually a slight deceleration from 6.9% last quarter. And frankly, it's a little bit different than what we saw at waste and republic, where Q3 actually accelerated. So I'm just curious, there could be some mix in there, I'm not sure. But can you talk about any puts and takes there?
Edmond Coletta: Yes, you're right. We did see a little deceleration. We usually -- we don't have a lot of CPI-linked contracts as a company. So I think maybe waste or republic, if they had June 30 resets, they probably saw some acceleration into Q3, whereas we have very few large muni contracts that are linked to CPI as a company, as you're well aware. And we were very -- we got out of the gates fast in January, February, had some really strong pricing programs, did some course corrections through the spring. And then things kind of settled out through the summertime. And as we finish budgeting over the next few weeks, we'll start to advance strategy for next year. So I don't think it's atypical for us to have higher pricing earlier in the year and then see it come down a little bit through the year. This year, we saw price climb all the way to June and then start to decline a little bit in Q3. It's not that we're losing any price or seeing big rollbacks or anything like that. It's just a cadence of what we've done in the marketplace.
Patrick Brown: Right. And I think the bigger -- maybe bigger picture here, because I think you mentioned it, you're still looking for something on the order of 6% to 6.5% next year. So it's going to be somewhat flattish, at least as we see it today, it's still hanging in there?
Edmond Coletta: Yes. I think we need to really get a good read on inflation. Our core internal inflation is running around 5.8%, 5.9% right now, which is the highest read we've had on that. But we might need to step that pricing setup even a little bit more and we're working on that right now. And we'll have a better strategy in the next 4 to 6 weeks coming into next year. But as you know, we have a great amount of flexibility through both our collection and our disposal book of businesses where we can course correct through our contracts. We don't have a lot of things that are just linked to fix price increases.
Patrick Brown: Right, okay. And then on volume, it may just be me, but I thought the volume was better than expected. Can you just talk a little bit about what drove that? Was that New York and Boston kind of coming back together? Was there a big project in there? Just anything unique?
John Casella: Yes, Tyler, there was nothing that was significant that was a one-timer in the quarter from a volume perspective. It was really just, I think overall, we saw positive trends across the Northeast at many of our disposal sites. And year-over-year, frankly, that's what drove our solid waste volume up 2% in the quarter year-over-year was through disposal.  Collection was a little bit flatter in the quarter from a volume perspective, which is okay and fine. We've advanced a lot of price and fees in this environment as appropriate with inflation. So it was primarily landfills, Tyler, and we expect to kind of see that trend continue through the fourth quarter, barring any unforeseen weather in December, which is always a little bit TBD, right?
Patrick Brown: Right. okay. No, that's helpful. Yes, go ahead, Ned.
Edmond Coletta: And the commercial line of business had a lot of strength through the summer as well. It really was a bright spot in the collection line of business, which makes you feel good about the overall economic environment as well, Tyler.
Patrick Brown: Yes. And then just congrats on the balance sheet. I know that's a big pride point for John and really for all of you. Congrats on that. But I'm a little unclear. So do you think interest will be up next year? Or will the grid -- moving down in the grid and the facility offset that? It's still going to be a headwind next year, but I don't know what's your general thoughts on that.
Edmond Coletta: Yes, it will. So I haven't done the calculation, but if we assume across the full year that LIBOR is up, say, 300 basis points or so, maybe that's not enough, but let's just assume 300 for the full average year, that would put us up $4.8 million of interest expense. And then moving against that our reduction in the grid, which would take off really less than $1 million off that. So we could see some headwind next year. We're doing a lot to keep leverage low in the business and make smart decisions on where we invest money.
Patrick Brown: And then my last one, and this is more of a conceptual question, around cost of capital and about capital access. So I think you have $50 million of cash. I think you have plenty of liquidity through the facility. But when you approach M&A, are you changing some of your assumptions around pricing on M&A? I mean how are you contemplating this higher cost of capital? How are you thinking about financing future M&A? Is it mostly going to be metered by just pure free cash flow? Or just any broad thoughts about that?
Edmond Coletta: Yes. All great questions. So if you flashed back a couple of years ago when tax policy changed and our cost of capital really started to decline as an organization, we didn't change our internal hurdle rates as a group for either small M&A or a little bit larger M&A or internal investments. We kept our hurdle rates at the same place.  So now that interest costs are creeping up and -- does that mean we're going to change hurdle rates to something higher? Probably not. Because as we've looked at transactions, we've tried to have a good risk premium in there already to ensure that when we put money to work we make enough and, it's hard to foresee things that go against you sometimes. So I think we've tried to be conservative there, and our track record shows for, of the 53 acquisitions we've done in the last several years, we have a really good track record of hitting the proformas.  As you know, we look at everything in an after-tax unlevered return and we build out discounted cash flows. And we're very disciplined on how we're buying businesses or investing money. And there's not going to be a big shift there. I think we definitely see a lot of opportunity in our markets. And John can probably speak about that better than I can about the pipeline and the opportunity that we see.
John Casella: Well, I think that there's no question that the opportunities continue to grow. I think, if anything, depending upon what happens from a recession standpoint, multiples could contract a little bit in terms of from a competitive standpoint, which could be a positive actually, sitting where we are with the capability that we have in the balance sheet. So it's really -- look at it really positively, the opportunities are really significant.
Patrick Brown: Excellent. 53 deals. You guys have been busy. Appreciate the comments.
Operator: Our next question comes from Stephanie Moore with Jefferies.
Stephanie Moore: I was thinking we can get maybe an update on just general capacity trends in the Northeast and I think really the last -- consistently seeing it grind lower, but maybe we could also just get an update on that and really your thoughts on McKean and where -- when you expect that to come online.
John Casella: So I don't think there's any question but that we continue to see the supply and demand imbalance in the Northeast. It continues to move in that direction. Capacity continues to come out of the marketplace. Very little capacity is being added to the market. We're probably more -- adding more capacity than anyone else to the market currently.  McKean is on track. We are currently in permitting for McKean for some changes that we made to the rail infrastructure. That is going forward very nicely, real support all the way around. So I think that we're on track probably to get into construction in '23 and probably early '24. Early to mid '24, it'd be up and operational. But as we ramp -- we'll be ramping it up, we don't expect that we're going to be at full capacity or anything like that, but we'll start to ramp it up in 2024.
Edmond Coletta: Yes. And a few of our other key initiatives continue to advance really well. Our permitting at Hakes is going well, permitting at Hyland landfill is going very, very well. Hyland is extremely well placed in western New York, about 50 miles away from a landfill that's scheduled to close in 2025, 2026. That landfill takes about 0.5 million tons a year. We're looking to increase Hyland from 460,000 tons a year to 1 million tons a year. So there's some other initiatives out there we're working on that will have a really nice impact over the next couple of years as we complete permitting and sites come offline.
Stephanie Moore: Great. And then just as a follow-up to your margin performance. I know that you have several tech and digital initiatives underway here. Are you starting to see kind of any meaningful benefits from whether it's your fleet planning or automation or even some of your back-office ERP implementations? Or should we expect the lion's share of those gains to be more apparent kind of in 2023, 2024? Any color there would be helpful.
Edmond Coletta: Yes. Maybe I can start and then Sean can step in on some of what we're doing on the automation and the onboard computing side. But we are making a lot of progress. It takes a bit. When you're investing in technology, you oftentimes have a few years where you're spending a little bit more and then you start to yield some really nice benefits. And probably our biggest benefits this year has -- 2022 into 2023, are really coming from some of our procurement initiatives. So it's NetSuite and our addition of Coupa and what we've done to really drive more standardized procurement in the business.  And there are simple things like increasing digitization of the stream, increasing digital payments across the stream, using our single-use cards in driving rebates through the business, catalog-based per procurement where we're getting more and more purchasing power and buying through digitally-linked catalogs through Coupa to things like containers or to parts. So there's a lot of really nice work being done in the back office to streamline and simplify what we're doing and to take costs out. And frankly, it's just going to make us more effective for our people in the field.  We've got a great pilot that's being launched on what we call service management, which is our order to cash cycle that's really exciting. As John reminds me, we've been running the same system for 35 years and it has served us amazingly well. But in today's day and age, both our people from an operating and customer service side and our customers are demanding more and more digital tools. And we're really excited about the work we've done there in our pilot launch. And on the truck side, in the fleet side, Sean, we've got some great initiatives that are taking real dollars out today.
Sean Steves: Yes. From an automation and conversion standpoint, we are booked through the end of next year, so we will do at least as many of those projects next year as we did this year. And from a technology perspective, we plan to do -- to escalate that a little bit next year and do more units for onboard computing on the trucks.
Edmond Coletta: Yes, we're through about 45% of our fleet today, Sean, on onboard computing. And will be through about 60-plus percent by the end of next year. And maybe you could just make a couple of comments about what that does for us, having computers in the trucks?
Sean Steves: Yes. The return profile on the onboard computers is, to put it slightly, very nice, we'll say. It gives us -- it touches so many levels of our business. It allows our customer service reps to have service verification capabilities, whether that's a picture of a dumpster that's blocked or a residential home that may have not -- may have forgotten to set their bin out for the night. We have revenue opportunities with overloaded containers, and that allows us to pay our drivers an incentive program.  And what we found, early indicators are in those markets where we're paying these driver incentive programs, are the turnover in that line of business has dried up to almost nothing. So staffing in the solid waste industry is and has been a big concern. So that's a nice silver lining allowing the technology to help the drivers make a little more -- a few more bucks. And just to put it bluntly, the drivers, it's overwhelming. They love the system. They love not dealing with paper anymore, so they love the tablets.
Edmond Coletta: And we've had some great safety incidences too, where we're able to prove we weren't the cause of incidences and really push that liability to others, which is great.
Sean Steves: Yes, the camera system allows -- it's a driver behavior system as well. So with the camera -- there's a camera in every cab, facing the driver. So it helps with coaching, if they may need some pointers on their technique. And then as Ned mentioned, yes, we are able to exonerate ourselves for claims that we did not commit.
John Casella: And right now, we still have a fairly significant opportunity in terms of the work that we're doing for the future with regard to further automating the fleet, particularly on the residential side, getting to fully automated. So we still have some opportunity left there, right?
Edmond Coletta: Yes. We're -- like I said, we're planned out through the end of next year, and then it's a competitive process for capital with all the divisions. And then we pick the highest return for each one [Technical Difficulty]. But I feel, John, I can plot it out. In a couple of years, we'll get to our goal of automation, but as you guys know, for sure on the phone, we're probably not going to stop buying companies anytime soon.  So that gives me plenty of work in the future. Usually when we buy...
John Casella: Job security.
Edmond Coletta: Job security. Usually when buy a mom-and-pop, they don't have the technology. They don't have the onboard computing. And a lot of times, they don't have the automation conversion. So there's always a new crop of rear-load containers to convert to front load and hand-service waste and recycling to convert to automated side load trucks.
Operator: Our next question comes from Michael Hoffman with Stifel.
Michael Hoffman: So very quick detailed question on 4Q. What's your interest rate for 4Q? What's the interest rate for 2023 based on where we are right now?
Edmond Coletta: Yes. So for 4Q, do you have it, Jason? Or I can pull it.
Jason Mead: Yes. I mean like -- so our effective cash interest rate over the last 5 quarters, on average, Michael, has been roughly 3.4% or so. So without having a calculation in front of me, for the fourth quarter, it's up modestly from that but kind of in that realm. As we briefly hit on earlier, we did step down one pricing level to the lowest pricing levels in our credit facility based on our leverage at September 30 of 2.16x in our credit facility. So that's helping a little bit as well. And I think Ned has the stat here.
Edmond Coletta: Yes, I think it's around 4.1%, income statement, effective interest rate.
Michael Hoffman: Okay, that helps. And then with regards to fuel, when you share with us headwinds, tailwinds, are you accounting for that on a constant engine hour or miles-driven basis? Because you're doing a lot of M&A. There's been good volume growth. So there's more fuel consumed, period, that drove the cost out plus the price of the fuel went up. So how, in fact, you think about that?
Edmond Coletta: Yes. Really good question. We should probably be more specific. So when I gave the good guide of about 50 basis points for fuel during that period. So during the quarter, our fuel cost recovery fees offset our cost of fuel, and we had some margin enhancement of 50 basis points. That was in just our core businesses, not any newly acquired businesses. So in that bridging, I said that we had a bad guide of about 75 basis points from acquisitions. I kept the fuel in with those acquisitions. In almost all cases, acquired companies don't have fuel cost recovery programs and that they're seeing some levels of inflation, it takes us months, if not a year, to get our fee programs into those companies.
Jason Mead: And if you don't bifurcate the M&A from the base business, year-to-date, it's been about a 40 basis point margin headwind, which is also what we expect in the fourth quarter and then the full year as it relates to fuel being offset by our energy and environmental fee.
Michael Hoffman: And -- but inside that, you had more volume on the core business than you drove more miles, so there's a volume angle there on the increased cost of total dollar spend on fuel. It's not just the price increase. You were going to spend more on fuel anyway because you had more volume.
Edmond Coletta: Yes, it's a good point. I mean because the program's meant to generally offset the increases in price of fuel. And to your point, we're at the point right now where we're offsetting any price increases in fuel with our core program. If there's some volume increases, that could be another component. That hasn't been materially large this year. Most of the acquired customers were already into the program by earlier in the year and hasn't driven a big variance.
Michael Hoffman: Okay, all right. And then -- so just to be clear for everybody listening, you're going to have a margin headwind in 4Q for fuel based on where it's trending right now?
Edmond Coletta: That's our expectation. So these are trailing fees, right? So we saw fuel drop like a rock from July through September after it's risen like a rocket ship in the first part of the year. We were behind all in Q1, Q2, we're behind from a margin standpoint. We got a little bit ahead in Q3. We're estimating to be slightly behind in Q4, about 40 basis points. Margins for the full year, we're estimating to be about 40 basis points behind on fuel. This fee, as you're well aware, we're just trying to recover costs and it can have margin headwinds, Q3 is a little bit of an anomaly with that pickup.
Michael Hoffman: Right. I just want to bring some clarity to that. And then great news on the volume, but we do have to acknowledge that '21 -- 3Q '21, you had a pretty mediocre tourism season and this is your best volume quarter anyway. I mean based on the hotel occupancy data, tourism data out of the states, there was a great tourism season in your regions in the quarter. So that's part of the driver as well. Just -- so people don't get its fare over their skis on.
John Casella: That's very fair, Michael.
Michael Hoffman: And you're well positioned. You have a great position to take advantage of it, but we want to make sure that we don't get over our skis on, volumes are running away.
John Casella: Exactly.
Michael Hoffman: Okay. Disposal price, so I was recently moderating a panel at a conference and there were participants all from the Northeast. One of them was the big burner operator. I asked the question, would they thought Boston would reset in 2024. And the answer was north of $180 a ton. Where is the current spot market for -- at the transfer station? And are you fully pricing that upside in yet or is that a lot more room for -- that could landfill pricing be that much better?
John Casella: I think that there's -- I would say, Michael, that the transfer station pricing is probably what they were talking about as opposed to disposal pricing. So I think that there's probably more opportunity there because we're not seeing $180 a ton at this point in time. But it is over $100 a ton at transfer stations. So it will be -- I think it is an opportunity going forward.
Edmond Coletta: Yes. In this year, we definitely -- that's one area where we need to do a bit better job on advancing pricing on our transfer stations. We've seen a lot of inflation on the third-party transporter side. Jason created a new transfer station energy and environmental fee that we launched late in Q2. It was effective in Q3, started to help with that. But there's just a lot of moving pieces there with changes in where waste is flowing, higher end disposal prices, heightened costs on the transporter side. It's a big focus point of ours, to your point, of that market does need to step up again on the transfer side into 2023.
Michael Hoffman: Which adds momentum to why you have a 6 handle or better on price in '23?
Edmond Coletta: Yes, absolutely. I mean pricing stats sometimes don't tell the full story. And we often will talk about the difference between just our disposal price, which is third-party customers, same customer going to the same landfill, same type of waste, has seemed a little bit muted the last few years at 5%. But that's because we're constantly looking to reblend our book of business and we're looking to vertically integrate more. If you look at the average price of what a ton's making into our site of total revenues divided by total tons, that's gone up 8% and that's a real good indicator to us that we are making good decisions in the marketplace to attract new customers. We are blending our own internal prices up at the landfills at the appropriate rate and things are working well.
Michael Hoffman: Okay. And then with regards to '23, just to get a little better clarity on the guardrails, can you give us a little bit more direction about how to think about what the compounding looks like? And are we having a conversation that's double-digit revenue growth, double-digit -- low double-digit profit and better than that in free cash in '23? Or are there headwinds that are pulling me back into high single digits? Just want to understand directionally.
Edmond Coletta: I think we're high single digits right now in revenues, double digits on EBITDA, low double digits on EBITDA growth and mid -- kind of like 10% to 15% on free cash flow. And that's -- we haven't finished budgeting yet. But as we look at the basic building blocks, that's where we are because we are going to see some recycling headwind. The other thing that could pull you back into high single digits on pricing is kind of, we have seen some movement here from the fuel fees. So that's not something that's making profit for us, but you could see that pull back against revenues a little bit. But we are looking to have double-digit growth on the EBITDA side.
Michael Hoffman: Okay, that helps. And then lastly on the self-help question that was asked earlier. Had if you put dollars around what you thought the scope of what self-help would do over time and then what you've captured so far?
Edmond Coletta: So there's a lot of opportunity there, and we were talking about earlier that if we can pick up 20 to 30 basis points of margin enhancement each year through Sean's automation efforts, onboard computing, back-office technology initiatives like that, that's a great cadence for us. And we don't see an end in sight in the next 3-plus years. There's a lot of opportunities we have across the franchise.
Michael Hoffman: And is that incremental to you talking about being up 30 to 50 or that's part...
Edmond Coletta: No, that's part of that. I mean -- and hopefully, we can beat those numbers. But if we say we're up 50 basis points on margins, some combination of price, self-help, offsetting things that are out there, that will always work against you.
Michael Hoffman: Okay. And then just I would make a comment more than anything else. If you -- if everybody looks at your pricing history, you always are stronger in the first half then it narrows in the second half, other than this is the first time we've had hyperinflation in 40 years. But prior to this, that's been your pattern because that's the way you price. Nobody should wake up and freak out about that.
Edmond Coletta: No. And we're not either, but we're definitely conscious of what's going on in the external environment and really looking at whether we need to advance some more price.
Operator: And our next question comes from Michael Feniger of Bank of America.
Michael Feniger: You highlighted the internal cost inflation in the quarter, 5.8%, 5.9%. Just what are the moving pieces there that's kind of driving that? And how do we kind of think about some of those moving pieces into 2023?
Edmond Coletta: Yes. Great question. So we -- guy in our team, Jack Vande Water, put together our own inflation index because it is hard to separate the price volume component of inflation, and we wanted to have a very consistent way of measuring the components of our own inflation. And this is on just the expense side. The capital side, we look at separately. But our aggregate basket, which goes across labor, tires, facilities costs, maintenance, doesn't include fuel, outside repairs, parts, operation support, we go across every part of our business. And things are trending higher than that 5.9% right now.  Our maintenance, parts, outside repairs, labor is actually tracking underneath that. Labor has stabilized and started to come down a bit from an inflationary standpoint this spring into early summer, which is good. Facility costs are definitely a bit more stable, and we haven't seen as much inflation on that side.
Michael Feniger: Fair enough. And I know you touched on it earlier. Just when we think about CapEx in 2023, there's inflation driving some higher CapEx, but a lot of it is also -- you guys have growth projects ahead. Just does the CapEx intensity -- is it a bit higher in '23, '24 as you guys are going through these projects? Just how do we kind of think about that?
Edmond Coletta: Yes. So we've been running for a number of years now. If you look at pure running our business and keeping the lights on, 10.5% of revenues from a CapEx perspective. And then we've been doing more than that because we've been growing and we've had a lot of great opportunities to put money to work. And we see that coming into 2023 as well. We've got some new contracts we've won that we'll be putting capital to work on. We've got acquisitions where we're investing to drive synergies and integration. And then McKean, we'll be looking to invest about $20 million into bringing McKean online in 2023 into 2024. I don't have an exact split yet, but that will be some really good money put to work for shareholders for long-term value.
Michael Feniger: Great. Just lastly, like I know this got asked earlier, but the pricing like on the collection or maybe even disposal, there's always a ceiling at some point. Do you feel like that -- we're approaching that? Or is it just the cost inflation, it's understandable with what everyone's dealing with in their own business? How do you guys kind of think about that? And is there any type of undercutting or ceiling there that you guys are starting to bump up against?
Edmond Coletta: Yes. So if you look at the Fed's data and you look at waste services as a percentage of a consumer's wallet or a business's wallet, it's less than 0.4% of that wallet. And frankly, we're just doing what we need to, to get the high cost of our business back to our customers, whether it be on the labor side, the truck side, environmental side. And I think our people are doing a really good job of assessing what we need to do and how to get that price back to the Street. And we don't look at it as whether there's a ceiling or not a ceiling. We're just trying to establish fair programs that get that inflation back to the market.
Operator: And I have a follow-up with Tyler Brown with Raymond James.
Patrick Brown: Super quickly. Is RNG a material benefit next year? Is it maybe $1 million or $2 million?
John Casella: It's not really. I wouldn't characterize it as material, right? I mean...
Edmond Coletta: No. We'll probably -- we'll have to give you the exact number, but we've got 2 RNG facilities coming online, one in Q1 and then one probably in Q3 or Q4. And in total, we'll have 1.3 million MMBtus coming online. And I think as everyone remembers, we did not invest the capital in these facilities. We have partners that invested in the capital, and we get royalties for our gas sales and for RINs. And I think across those 2 projects, you know, Charlie, how much?
Charlie Wohlhuter: Yes. So just kind of assuming the first one will come online in the first quarter, and then the second one is going to be towards the end of the year, Tyler, assuming pretty conservative $2 D3 RIN price, we're probably looking at revenue contribution of about $2.5 million or so next year.
Patrick Brown: Okay, okay. That's helpful. I think I can work with that.
Operator: [Operator Instructions]. And I'm currently showing no further questions at this time. I'd like to hand the conference back over to Mr. Casella for closing remarks.
John Casella: Thanks, Norma. Thanks, everyone, for joining us this morning. We look forward to discussing our fourth quarter 2022 earnings and our 2023 guidance with everyone in February. Thanks, everybody, and have a great weekend. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.